Operator: Good day, and welcome to the Duke Energy First Quarter Earnings Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to Bryan Buckler, Vice President of Investor Relations. Please go ahead, sir.
Bryan Buckler: Thank you, Derek. Good morning, everyone, and welcome to Duke Energy's First Quarter 2020 Earnings Review and Business Update. Leading our call today is Lynn Good, Chairman, President, and Chief Executive Officer along with Steve Young, Executive Vice President and CFO. Today's discussion will include the use of non-GAAP financial measures and forward-looking information within the meaning of the securities laws. Actual results could differ materials from such forward looking statements and those factors are outlined here in and disposed in Duke energy's SEC filings. A reconciliation of non-GAAP financial measures can be found in today's materials and on Duke energy.com. Please note the appendix for today's presentation includes supplemental information and additional disclosures. As summarized on Slide 4, here in today's call, Lynn will provide an update on our response to COVID-19. She will also discuss progress on our strategic initiatives and the company's long-term outlook. Steve will then provide an overview of our first quarter financial results and share an update on key regulatory activities. We will also provide insights into our economic and growth outlook before closing with key investor considerations. With that, let me turn the call over to Lynn.
Lynn Good: Bryan, thank you, and good morning everyone. Let me open our call today by focusing first on our response to COVID-19, I know it is top of mind for all of you. First and foremost, our talks are with those who have been personally affected. I also want to express my heartfelt thanks to the healthcare and government workers, as well as those working countless hours to support for frontline professionals. This pandemic has their barriers that has permeated the globe, our country and the states in which we operate. It's altered our day to day lives from how we interact, the way we operate and serve our customers. But despite these dynamic conditions, Duke Energy and its employees have risen to the challenge, continuing to provide reliable service to our nearly 24 million electric and gas customers. The safety of our communities, customers and employees is our top priority and we took a number of steps to protect them. In March, we shifted nearly 18,000 team mates to remote operations. For team mates in critical roles who could not work remotely we deployed the best available personal protection equipment and create disinfecting between shifts initiated split operations, between primary and alternate locations to limit exposure, plus additional restrictions on those accessing our facilities and implemented social distancing policies. These new safety protocols were particularly important during spring storm restoration and generation outages. So far, our teams have completed three nuclear outages and more than 30 fossil hydrogeneration outages, all while maintaining focus on safety and delivering on time and on budget. And in mid April, our transmission and distribution teams quickly responded to more than 900,000 outages across the Midwest and the Carolinas after severe thunderstorms and tornadoes. But Duke Energy’s response is on well beyond supporting our internal team. We were one of the first utilities in the country to suspend service disconnections for nonpayment and waive late payment and other fees for our customers. In addition, we donated approximately $6 million from the Duke Energy Foundation to fund relief efforts across our jurisdictions and provided critical PPE to several community organizations within our territory. We also accelerated the flow back of fuel adjustments and over collections in Florida, resulting in a 20% reduction in residential bills in May. And we are working directly with our commercial and industrial customers to provide a system with payment options for those most impacted by current economic conditions. Our employees have been steadfast in ensuring our communities have power as they also respond and adapt to these changing times. The collective work of the healthcare and government professionals, as well as utility and other essential workers demonstrates the power of working together to serve our communities. Now let me take a moment to walk you through Slide 6 that summarizes where our company stands financially during these uncertain economic times. Today, we announced first quarter adjusted earnings per share of $1.14 in line with our expectations but reflecting milder weather compared to normal and storm costs this winter totaling approximately $0.15 per share. We began to take cost mitigation actions in February as we saw the impact of the mild winter, and we are building on those actions to address COVID-19. Our communities are experiencing a slowdown and we are beginning to see the impact of electric load in our jurisdictions. In a few minutes, Steve will share more on these customer load trends focusing on the month of April, and range of potential load trends over the balance of 2020. We are presently projecting $0.25 to $0.35 reduction in revenue from COVID-19, which is consistent with stay at home policies for midsummer and a gradual economic recovery beginning in the third quarter and continuing over the balance of the year. In response to the pandemic and in recognition of mild weather entering the year, we are executing on a series of cost saving initiatives, totaling approximately $350 million to $450 million or $0.35 to $0.45 per share. We’re also keeping our regulators informed about the specific thoughts we are incurring related to COVID-19. For example, a potential increase in bad debt expense, and we'll seek recovery of these costs at the appropriate time. Taking these measures into consideration, we are affirming our 2020 adjusted earnings per share guidance range of 5.05 to 5.45. We will continue to update you as we move forward. It's important to recognize that we are only two months into this event. We are and we will continue planning for a range of outcomes and we will know more if the economies that we serve reopen. The third quarter, which is our most significant one is also still ahead of us. Over the long term, we maintain our confidence in the strength of the communities we serve and in our ability to deliver on the $56 billion infrastructure investment plan, it is critical to our customers and communities. I will speak more to our business fundamentals in a moment. Turning to Slide 7, we remain committed to our long-term vision and value creation for our communities and our shareholders. We're putting our five year $56 billion capital plan to work as we generate cleaner energy, modernizing strength in the energy grid and expand natural gas infrastructure. Since announcing this updated plan in February, we've made progress advancing these goals. Last September, we announced our comprehensive plans to address carbon across our footprint, reaching at least 50% reduction by 2030 and net zero by 2050. Our updated climate and sustainability reports issued in April provide more clarity and detail around the measures we're taking to achieve these milestones, including doubling our renewables portfolio over the next five years. Our climate report outlines our plans over the longer term to retire more coal, further expand renewables, energy storage and natural gas. We also emphasize the importance of research and development, focused on those following carbon free resources. We believe these new technologies are essential to reach our net zero goal by 2050, and plan to share more updates in this area when we host our ESG day later this year. On the grid in April we filed our 10 year $6 billion Florida storm protection plan. These investments will generate meaningful customer benefits by enhancing reliability while reducing restoration costs and outage times associated with extreme weather events. Further, details on the progress we're making in these areas are outlined on the slide. Before I close, let me touch on the Atlantic Coast pipeline. You can reference a status summary on Slide 18 in the appendix. We expect a decision from the Supreme Court regarding the Appalachian Trail crossing in the coming weeks. We're also awaiting the biological opinion and incidental take statement from the U.S. Fish and Wildlife service as their detailed analysis continues to ensure that a durable permit is issued. We expect the agency to reissue the permit in mid 2020, and to-date have not seen any significant delays in the progress of the work from COVID-19. Successful resolution of both of these items will be important to reach our construction. Importantly, ACP has finalized revised commercial term with the major pipeline off takers balancing value to customers and fair returns to project owners. Finally, we are also monitoring developments on the nationwide Permit 12. The recent decision related to the Keystone pipeline by the district court in Montana has potential implications to ACP. Just yesterday, the judge amended his April 16th ruling limiting the new oil and gas pipeline projects. He also denied a stay pending appeal. We're evaluating this ruling and the impact it will have on the existing timing and cost of the project. Assuming the issue is resolved in a timely manner and we can take advantage of the November through March pre-selling season, we believe ACP can maintaining existing schedule and cost estimates. We remain committed to this important infrastructure project and the economic benefits we expect to it will drive for our communities in the Carolinas, and we'll continue to update you as progress is made. As I reflect on our long-term strategy, I'm confident in our industry priorities. They continue to deliver value, capitalizing the complementary nature of our electric and gas franchises to meet our customers’ growing and evolving energy needs. Looking ahead and in the context of the uncertain economic environment in our country, we will be thoughtful in the pace at which we deploy capital, balancing affordability for our customers with value creation for our investors. Turning to Slide 8, even in the midst of the economic impact of the stay home orders, the fundamentals of our business remain strong. Importantly, our employees’ commitment to our customers and communities shine through during the hardest of time as we generate and deliver reliable increasingly clean energy across our service territory. There are several distinguishing factors that make our company an ideal long-term investment for shareholders. First, our size and scale and diversity of operations is unmatched, allowing us to deliver consistent short-term returns and long-term investment opportunities. Furthermore, we operate in constructive regulatory jurisdictions that oversee our operations in arguably the most attractive communities on the East Coast. And our five year $56 billion plan to address an cleaner energy grid improvement and other infrastructure that’s critical to the customers and communities we serve, and will create meaningful shareholder value for many years to come. These are the strong business fundamentals that give us confidence to deliver on our long-term earnings growth rate of 4% to 6%. And with that, I'll turn it over to Steve.
Steve Young: Thanks, Lynn and good morning, everyone. I'll start with a brief discussion on our quarterly results, highlighting a few of the key variances for the prior year. For more detailed information on various drivers and a reconciliation of reported to adjusted results, please refer to the supporting materials on the company today's press release and presentation. As shown on Slide 9, our first quarter reported earnings per share were $1.24 and our adjusted earnings per share were $1.14. This is compared to reported and adjusted earnings per share of $1.24 last year. The difference between reported and adjusted earnings was due to the partial settlement in the DEC North Carolina rate case permitting recovery of 2018 severance costs. Within the segment, the electric utilities and infrastructure was down $0.06 compared to the prior year. We saw the expected benefits from base rate increases in South Carolina and Florida, and higher rider revenues in the Midwest, along with forecasted regulatory lag in North Carolina. However, these fundamental improvements in our segment results were offset by mild winter weather along with severe storms that impacted much of the Carolina. Shifting to gas utilities and infrastructure results were $0.03 higher, driven primarily by new retail rates in North Carolina and higher margins at the LDC. These items were partially offset by the one-time income tax adjustment related to ACP, which favorably impacted the prior period results. In our commercial renewable segment, results were up $0.06 for the quarter. The increase was primarily due to ongoing benefits from projects brought online in 2019, as well as favorable wind resource and pricing this year. Finally, other was down $0.12 for the quarter, principally due to planned costs of borrowings and lower investment returns and non-qualified benefit plans causing an approximate $0.06 year over year difference. The returns on these planned assets especially rebounded for the month of April. Overall, our first quarter financial results were not materially affected by the COVID-19 pandemic. Aside from the unseasonable weather and related storm costs, the first quarter was consistent with our internal plan. Given the software weather, we began planning mitigation actions in February and further enhanced and accelerated those plans upon the full onset of COVID-19, which I'll describe in detail in a few moments. Turning the Slide 10, we continue to execute on a regulatory agenda. As Lynn mentioned, we recently filed our storm protection plan in Florida that provides much needed storm hardening in the state. We also have modernized regulatory mechanisms for investments in both Florida and Ohio that are providing timely recovery of our investments in clean generation and a more modernized grid. We currently have three rate cases underway Our Duke Energy Indiana case continues as planned. The hearings were held in January and the record is now closed, and we expect you order around midyear, the Duke Energy Carolinas and Duke Energy progress. The written pre-hearing record is substantially closed. In the DEC case, we reached a partial settlement for storm costs, allowing us to pursue securitization, as well as other adjustments. The hearings for both cases have been delayed. We continue to work with all stakeholders to identify options to safely and efficiently conduct the hearings, and we expect to revise procedural schedule to be released in the coming weeks. Just last week we filed with the commission a proposal to combine the hearings of the two cases in July, which is supported by the public staff. If this procedural schedule is approved, it will help to limit the delay in obtaining the general rate case orders. A slight delay in the decisions for both of the North Carolina cases is not expected to have a significant impact on our 2020 financial plan, and the commission has a variety of mechanisms that they can implement to help balance the interests of customers and shareholders. With regard to COVID-19 and expected impacts across our jurisdiction, we’re attracting the financial effects on our utilities, including elevated bad debt expense and late fees for customers. This is an extraordinary time that has and will continue to require our utilities to incur costs on behalf of our customers and the employees we operate our business. Similar to what others are doing across the country, we'll work with our regulators to identify the best solution to recover these costs, to support the ongoing financial health of our utilities, while also recognizing the unique needs of our customers during this unprecedented time. Shifting now to our response to the COVID pandemic, Slide 11 highlights the well timed steps we've taken to bolster our liquidity and financial strength to position us to manage through a variety of potential outcomes. As of April 30, we have a strong available liquidity position of $8.2 billion, which provides the company valuable flexibility as we plan our remaining capital markets transactions in 2020. In addition, provisions within the recently enacted Cares Act provide meaningful cash benefits in 2020 by accelerating our remaining AMT credits of approximately $285 million into the current year. This additional cash benefit will help to mitigate lower revenues and give us added confidence in our ability to deliver our consolidated credit metric targets for the year. Finally, our 2020 capital and financing plans remains on track. We will closely monitor the capital markets and strategically time our issuances to achieve the best outcomes possible for both our customers and shareholders. Moving to Slide 12, in addition to our large size and scale, our retail customer mix is diverse anchored by our growing residential customer front. The south east remains a very attractive part of the company that continues to experience strong growth with new residential customers at a rate of approximately 1.7% year-over-year. With the recent sale and policies volumes in our residential customer class have been strong, particularly in Florida and we expect this trend to continue into the summer cooling season. The higher residential volumes provide a partial offset to declines in the commercial and industrial classes. Within commercial much of the service sector has been closed or limited operations, including schools and universities, bars and restaurants and other retail establishments. Certain sectors within commercial remain resilient, such as data centers and hospitals that continue to provide frontline services to fight against the pandemic. The temporary closures and curtailments of certain industrial customers are beginning to give away the plans to restart production as states in our service territories are relaxing stay at home policies and workers are preparing to come back to work gradually. Turning to Slide 13. As we compare build sales in April to the prior year, we're able to see how the full stay at home policies have impacted retail electric volumes across each of our customer classes. Commercial and industrial usage was down 10% and 13% respectively for the month. But as expected, the higher margin residential class was up 6%. Overall, retail sales were down 5% and these results are slightly favorable to our revised forecast for the month. As a reminder, the earning sensitivities do vary across retail customer classes and we've included those here for you. Looking ahead, we expect the 3% to 5% decline in total retail volumes for full year. We are forecasting the deepest declines in volumes compared to 2019 in both the second and third quarter with a gradual economic recovery beginning in the latter half of the third quarter and extending beyond the end of the year. With these forecasted ranges and on a weather normalized basis, we are forecasting a full year 2020 negative EPS impact of $0.25 to $0.35. As our communities are beginning measured reopenings, we're hearing from a large number of our industrial customers that they are planning to increase their level of operations in the mid to late May timeframe. At the same time, we expect higher residential volumes until stay at home policies are fully relaxed. Moving now to Slide 14, we've activated several initiatives to mitigate the impact of the COVID-19. Our annual non-rider O&M budget is nearly 5 billion, providing us with formidable lever to address revenue headwind. As I mentioned, we began our mitigation plans in February and have greatly expanded those efforts with the COVID-19 onset. Over the past five years, we have demonstrated a core competency in managing our O&M, absorbing increases for inflation as well as nearly 300 million of O&M associated with the Piedmont acquisition. We have also demonstrated the ability to strategically manage cost between years, taking advantage of strong earnings in some years to strengthened periods when expected costs rise. Based on the tremendous focus and commitment of our teammates, we are confident we can reduce our O&M and other expenses by approximately $350 million to $450 million in 2020. Our target is not merely inspirational but it's underscored with discrete actions for which we have had clear line of sight and are already taking action. For example, as our generating assets are expected to run less during the year, we are optimizing the timing and strength of our 2020 planned outages. In addition, we are aggressively managing all expenses, including our contract labor, overtime, nonessential projects and a broad range of discretionary spending. We are also suspending external hire, while sharing existing resources in a virtual manner in order to optimize labor costs. Let me clear, we are highly confident in our ability to deliver on this goal with $350 million to $450 million of 2020 cost reductions. Although, we are still early in the year, based on the forecast of a gradual economic recovery beginning this summer and the significant cost mitigation actions that we have put into motion, we are affirming our 2020 targets of delivery within our original earnings per share guidance range. Finally, we understand the value of the dividend to our investors. Approximately 40% of our retail investors and many of whom count on our dividend as a source of income during these uncertain times. 2020 marks the 94th consecutive year of paying a quarterly cash dividend. Throughout the past nine decades, including during the financial crisis to 2008 and 2009, we have protected our quarterly cash dividend. Our excellent businesses that operate in some of the best jurisdictions in the country give us confidence to continue paying and growing the dividend consistent with our long-term target payout ratio of 65% to 75%. Before we open it up for questions, let me turn to Slide 15. Our attractive dividend coupled with our long-term earnings growth from investments in our regulated utilities provided compelling risk adjusted return for shareholders. As a company, we're well positioned and confident our vibrant and growing communities will resume strong economic growth as we emerge from this pandemic. With that, we will open the line for your question.
Operator: Thank you [Operator Instructions]. We'll take our first question from Shahriar Pourreza with Guggenheim Partners.
Shahriar Pourreza: So the mitigation plan that was announced, how much of the $0.35 to $0.45 is sort of cemented and if COVID is more protracted in the current 3% to 5% low degradation. Do you have incremental levers? And I do have a quick follow up.
Lynn Good: It's all start and Steve you can add. We have definitive plans for the $0.35 to $0.45 as well as upside potential. And I think at some point, depending on how this economic downturn plays out, we would continue to be more aggressively, not only the cost categories we've identified but really within a broader context of transformation. And this is where we'd be more aggressive around corporate center, around outsourcing, real estate footprint, digital tools, early plant retirement, just a variety of things and that work is already underway. So this is something that I'm particularly proud of is we've demonstrated the ability to understand our thoughts and cost drivers significantly over the last five years. We've also put infrastructure in place to drive transformation and the plans are underway for a range of economic outcomes.
Shahriar Pourreza: And then just focusing on the element side of the 350 million to 450 million in mitigation plan. Can you touch on how much of this could be ongoing or perpetual in nature as you sort of think about the shaping of your O&M profile post 2020?
Lynn Good: I would say, there will be elements of the cost reductions that are sustainable, and there will be elements that move with timing. So an example would be when you put a hiring freeze in play, we will enter 2021 with a lower headcount than we would have originally projected. And then we will begin bringing skills in at the appropriate time in case depending on the needs of the business. I think outages, because we're running our assets less, we've been able to defer some of those but we'll be thoughtful about maintaining assets that are important to customers and feather those back in as needed. We're also spending a lot of time on what we've learned around remote work, and the activities underway from COVID-19. And I believe there will be permanent savings from the way we are using resources. And we're trying to get our hands around quantification of that as we look at remote work policies and we look at our real estate footprint. And you can expect to hear more about that as we think about 2021 and beyond. Steve, would you add to that?
Steve Young: I think Lynn hit it very well. I'm very confident that we're learning a lot through this pandemic about how to work remotely and how to use technology tools that we didn't really realize what we had. That will serve us well as we go forward. We’ll couple that with digital capabilities that our business transformation center is utilizing and data analytics. I think we will be able to -- we have found a new avenue a new path of another body of efficiencies through what we're learning through this COVID-19 pandemic.
Operator: Our next question comes from Stephen Byrd with Morgan Stanley.
Stephen Byrd: I wanted to touch this first on ACP. And I think we expect and I think many expect that you will be victorious at the Supreme Court. From there, I guess I'm thinking about the Montana litigation and potential impact in terms of decision to restart the project or ability to restart the project. I think there's a chance there that that litigation could be fairly extensive. How does that factor into sort of the decision making around restarting work on ACP?
Lynn Good: Stephen, this is an important consideration. And as I said in the remarks, assuming that we can get this resolved to hit the preselling season we’ll be in position to move forward, maintaining cost and schedule. Given the fact that that really happened yesterday, we’re catching at for the very early time in our evaluation. We would expect the Army Corps and DoJ to appeal, and we'll be monitoring that closely as I know others will be in the industry and other infrastructure companies and we’ll of course learn more from the Army Corps and DoJ to go forward. So it's something to keep on the radar screen and we'll continue to monitor and update as we learn more.
Stephen Byrd: And so it is clearly relevant such as you're thinking about the overall plan for the project…
Lynn Good: Yes, it’s return from it.
Stephen Byrd: And then maybe just a quick one on the credit statistics that you Steve that you’ve laid out kind of your pretty clear path. I maybe sort of overthinking or just looking at the discussion here, in terms of the 15% FFO to debt level that you're targeting versus sort of the 15% to 16% level. Would you mind just touching again on dialog with rating agencies? Your overall sort of sense for where you want to be over the next several years in terms of your FFO to debt?
Steve Young: Well, our targeted range for credit ratings is to have FFO in the 15% to 16% range. We’ve taken steps to make that happen in our plan and in the past we have good dialog with the rating agencies. Moody's reaffirmed our rating, S&P pulled the entire sector onto a negative outlook. And everybody's looking at the impacts of this pandemic. So we'll continue that dialog. We're seeing some erosion in top line revenues and that affects FFO, but you can see the mitigation impacts that we have put in place that moves in the opposite direction. So we'll continue the dialog. We'll continue to work to meet our financial plans, both earnings and on the credit side. And a couple of things that are unique to us. We've got these AMT credits that accelerated monetization helps us quite a bit here. We're also taking advantage of deferring of a corporate portion of payroll taxes that's about $100 million cash flow benefit. Our pension plans are in good shape in terms of funding and so forth. And we're not a cash tax payer until 2027 in any significant way. So we've got some solid strength in our balance sheet that help us. And then the continued regulatory activity of getting recovery of costs is essential there. So we'll continue that dialog with the rating agencies, and we'll keep them abreast of what's moving forward.
Stephen Byrd: And just lastly, if I could, just on the O&M cost control impressive results in terms of being able to cut costs. And it's an interesting point about sort of some of the learnings that you're engaged in. When you think about sort of the EPS growth guidance in the longer term that you've laid out in the trajectory. Is there a potential that some of these learnings that could last and be beneficial, could that have a meaningful benefit in terms of as you think about your overall trajectory? Or is it a little too early to say. How are you thinking about what you've been able to learn here?
Lynn Good: Stephen, I think O&M agility and the ability to lower cost structure is a tailwind to growth, because it puts us in a great position to deploy capital without raising price to customers. And so, I do think about it as something that's important to the long-term growth of the company.
Stephen Byrd: And it sounds like at least the portion of these cost savings are things that could be more permanent in nature and be beneficial longer term, whereas others things like outage timing are more transitory in nature, so it sounds like it's a mix of the two.
Lynn Good: I think that's right Stephen. But I think it's important that you're hearing from us that lowering our cost structure is not only a core competency of ours but a strong objective. And we think particularly in the time we've got economic uncertainty to move early and aggressively is a smart thing to do, and that's how we are positioning ourselves in 2020 and also for 2021 and beyond.
Steve Young: And we are learning techniques to utilize our workforce much more efficiently in this situation. We can virtually shift engineers within functions. We have shifted financial people from budgeting to accounting to audit services, IT people to different functions, the virtual capabilities as we learn more about them, are going to help us utilize our workforce more efficiently. And I think that's going to provide longer term savings capabilities.
Operator: Our next question comes from Steve Fleishman with Wolf Research LLC.
Steve Fleishman: So just could you, if you don't mind, just remind us kind of the North Carolina rate cases, when you expect outcomes and just if that does get delayed further. How much do we have to worry about the timing of that exactly in terms of your range for this year?
Lynn Good: So Steve we made a filing maybe a week ago, two days ago suggesting or recommending the consolidation of the two cases in the Carolinas supported by public staff, setting hearing in July of this year. And so we think the commission will give that look close consideration that will put us close to the timing we’d originally planned. So we feel like we've got some flexibility within our financial plan for 2020 on that timing. I also think it's fair to say that there are tools with these cases, whether it's deferrals, accounting orders get back of deferred income taxes, interim rates, a variety of tools that could be used to support the health of the utility. And we'll be evaluating all of those considerations as we go and those tools, many of those tools are available to the commission as you know.
Steve Fleishman: And any updated thoughts on whether you have control likely potential to settle those cases or expect them to be fully litigated to the end?
Lynn Good: Steve, we've entered into a settlement on a handful of items in the DEC case we'll do have similar discussions on DET. And between now and July, we'll continue to keep lines of communication open with the parties to see if there are other opportunities. I think this is an important time as you recognize customers, of course working through the economic downturn but the health of the utilities are also extraordinarily important. And I'm not sure that there's another time when the essential nature of our services and underscored more than this. And so, we'll continue to have discussions, it's hard to forecast whether or not we'll get to any further settlement at this point but we'll keep you posted.
Steve Fleishman: And then lastly, I think you mentioned that there's been the initial meeting and the North Carolina energy plan, or I think the initial meetings there. Could you just give color on where that stands and when we might start seeing any outcomes from that?
Lynn Good: There have been two stakeholder work streams seen in 2021 focused on climate policy. So this is a group of stakeholders focused on retirement of coal, CO2 markets, clean energy standard. And they have continued to meet even remotely talking about these various items. We would expect a draft report from those discussions in the second quarter, public draft for third quarter and then a recommendation going to the governor by the end of the year. You may recall that the objective is to get to at least 70% carbon reduction by 2030, and it's actually greenhouse gas is not carbon. And so there are some alignment around base years and other things going on to figure out exactly how to do accounting. We're comfortable with this objective, as you know from our climate strategy where at least 50% by 2030. So, that stream of work is very engaged. They've also been to meetings on a stakeholder process focused on modernized regulations, performance based rate making and other tools. The discussion is early I would say just I think there was one meeting in person, one remote meeting. The objectives there are trying to find ways that carbon reduction can be incented, distributed energy resources. And so that is moving at perhaps a slightly slower pace but good discussion and dialog there as well. So I think on both of these, we'll have more feedback as the year progresses and determine whether or not there's any specific push coming out of either of these processes for legislation in 2021.
Operator: We will next go to Jonathan Arnold with Vertical Research. Please go ahead.
Jonathan Arnold: Just a quick question on the guidance reaffirmation and the cost savings versus the pressure you see on plan. So is it reasonable to assume that where you're sitting today if those things play out as you've outlined, recognizing there's a lot of variability that you would be sort of solidly in the range or kind of holding in at the low end, or just any other color you can give us there?
Lynn Good: We built a plan and are executing a plan that matches the COVID-19 expectation, as well as the first quarter weaker weather, which really gives us an opportunity to land solidly within the range. And as we've talked about, we have a track record of being able to manage O&M in this fashion and we have a high degree of confidence that we can do that. But we also recognize we're only a couple of months into this. The third quarter is still ahead of us. There are wide range of assumptions on how the economy is going to play out or states are just beginning to reopen. We have the milestones around Atlantic Coast pipeline that we've talked about with the decision and also the biological opinion. So we'll continue to update on all of these things as the year progresses. But the actions that we've put into place right now are designed to place us solidly within the range.
Jonathan Arnold: And just one of the things, you talked about keeping regulators informed on incremental costs. Could you just sort of -- are you actually deferring certain items? And just where are you on to the deferrals and potentially orders out of commissions allowing you to do that?
Lynn Good: For the first quarter, Jonathan, minimal impact, because we were just sort of starting into this process and the various policies with customers. But we are reporting and tracking all of these costs to our various commissions and we will begin to see filings around deferrals or accounting orders and other things. I think, Ohio and Indiana are already underway. And as we get more of that feedback going then we will reflect appropriate accounting entries at the right time. Steve, how would you add?
Steve Young: We're preparing filings in the Midwest in Ohio and Indiana. We are tracking costs in all of our jurisdictions. And at the appropriate time, we'll make various filings and work with our regulators on appropriate deferrals. Nothing's being deferred at this point but applications are getting prepared, tracking is moving forward and we'll continue to look at this and see what makes the most sense.
Jonathan Arnold: And how have you kind of treated that in guidance, I guess?
Lynn Good: So Jonathan, we're assuming that we will get appropriate treatment of incremental costs. And I'm focusing on things like bad debt expense. The timing of when that occurs in terms of cash collections will depend on the jurisdictions. But for incremental costs, we are assuming that we'll get appropriate regulatory treatment.
Jonathan Arnold: And then can I just [Multiple Speakers] have a topic. The recent executive order about not sourcing equipment from adversary nations. Do you have any initial thoughts at a high level on how this might impact your ability to execute plan on grid, for example? Just any color. And I realize it has to be defined but it seems to be [Multiple Speakers].
Lynn Good: We're closely following, Jonathan. I think the spirit of it is to address cyber risk, which is something we strongly support. There was a similar executive order issued formerly few years ago for the telecom industry and so we will factor in as we learn more. These plans into our investment plan. But as you know, making investments in T&D, intended to address cyber and physical risk as well as renewables and customer programs, all of that is squarely within our strategic investment plan. So we will adjust it as we learn more and applaud focus on cyber risk and around the bulk power system.
Steve Young: And I would add that we have a broad supplier base across our footprint. As you said, Jonathan, there's more to learn as specifically being targeted here. But we look at our vendor base and try to diversify as much as possible so we can move in different directions if necessary.
Operator: We'll next go to Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: So I know you addressed this in part, but I want to come back to it a little bit. How are you thinking about the sustainability of the cost cuts beyond the current period? Obviously, it's a dramatic number so it's not necessarily expected. But how do you think about the cadence of that against the need for perhaps evolving rate case timeline? And even within that number that you talked about this year as a follow up question. How are you thinking about that complementing your cost cutting efforts to mitigate impacts from coal ash, if that makes sense as well?
Lynn Good: So I'll take a stab and Steve you can build on it. We had developed a plan to match what we see as COVID risk as well as mild weather. So you've got economic downturn as well as weak start to the year, and we've identified from a range of things operations, corporate center, employee expenses, hiring freeze, contractor contingent workers, over time variable compensation, a variety of tools that we will use to go after that. As I commented a moment ago, the fact that we're only a couple of months into this and learning about the reopening and learning about what might unfold over the balance of the year, we are also looking at each of those cost categories for potential upsizing of them, as well as moving into what I would call more transformative changes where we might look at real estate and early retirement of certain assets and so on. So there's a lot of planning going on because the future is uncertain. As I look at that range of costs, some of them will be sustainable. I’m not prepared to give you a percentage or a specific number on that. But I do believe that some of them will be sustainable. The example I gave a moment ago, you know, hiring freeze is going to put us into 2021 with a smaller workforce. And we will monitor as we go how to convert to a sustainable lower cost structure if we find ourselves in a longer downturn. I think as you talk about things like coal ash, you’re talking about regulatory risk, and the rate case outcomes and how that will factor in. We have a range of assumptions in our financial plan as we think about rate cases, and that is always part of our thinking in developing the size of mitigating actions. And so I won't point to a specific item on that, but I will say anytime you put a financial plan together, you're evaluating range of outcomes. We feel strongly that recovery of coal ash costs and recovery of returns is important. We believe it's important for any health of a balance sheet and we think about cost of this nature, and we will be prepared to strongly defend that when we're on the band later this summer.
Steve Young: And I might add Julien that as we think about our regulatory cadences, the ability to generate these O&M efficiencies is a very useful tool here. It gives us headroom to make needed capital investments on behalf of our customers, as Lynn alluded to earlier, and minimize any rate impacts to customers. So this capital optimization around our O&M optimization in sync with the regulatory cadence is a very important part of what we're trying to put together. And we've got flexibility in the capital plan. So we can move that capital around to fit under O&M efficiencies to help our shareholders and our customers. So those are the types of dynamics we're trying to put together across our footprint.
Julien Dumoulin-Smith: And can I just follow up very briefly here. How you think about the shaping here by quarter of the cost cuts and how they manifest themselves, relative I suppose to the reduction in loans. It sounds like you were rapidly able to identify these cost cuts, such that as you think about 2Q and 3Q et cetera. And then Lynn if you can clarify, you specifically said that you did not yet elect, for instance, voluntary retirement programs as part of this $400 million number?
Lynn Good: There is no assumption of a voluntary retirement program in the numbers, Julien.
Steve Young: And then on the saving, Julien, look most of it to be in the second half of the year. A lot of all generation outage work will be in the fall generation season as our headcount freeze kicks in that kind of builds during the year we had budgeted increases in workforce. We'll certainly see some in each quarter of the rest of the year but specifically do the generation outage work that will be a bit more in the second half of the year.
Operator: We'll go next go to Michael Weinstein with Credit Suisse.
Michael Weinstein: A couple of quick ones on CapEx and O&M, so as part of the grid hardening plan that you just filed. Is that already reflected in the five year CapEx plan, I think it is but just trying to confirm that?
Lynn Good: So Michael, we updated in February about 1.5 billion into Florida, Florida five year plan and that is consistent with what we filed in the grid hardening plan. We will see incremental capital beyond the five years, because this is the 10-year plan and we’ll provide those updates as the years progress.
Steve Young: Our February capital plan was increased 12% and the Florida grid mark was a significant part of the increase.
Michael Weinstein: And just to beat a dead horse on the O&M reduction. Is there a ballpark estimate that you could give us for how much is deferral into the plant maintenance and how much is more permanent 25% of this more permanent, maybe 50% permanent?
Lynn Good: Michael, at this point, I don't have a range to share with you. I think that's been a topic of interest. And as we go into the second quarter and begin our more earnest planning for 2021, I think we'll be in a better position to talk about that. But our objective will be to make it much sustainable as we can in this environment but I don't have a specific on deferral versus the sustainable.
Steve Young: And I think we want to look at how the assets operate and think about their performance under the revised operations and so forth, and where we're headed and that will impact it as well.
Michael Weinstein: And related question, Steve you mentioned the idea that you have headroom for lower O&M, more capital improvements. Do you see the opportunity to convert some of these OpEx cuts and once the crisis is over and for higher rate base and CapEx growth plan?
Steve Young: Well, we certainly always look at putting our financial plan together, keeping in mind impacts on customer rates. And so to the extend you can reduce O&M costs that does give you that headroom there. We have a robust data set of capital opportunities, we turn capital away each year when we go through our budgeting process. So doing our scope and scale the breadth of our grid we have plenty of opportunities to do those kind of things.
Michael Weinstein: And also since the progress rate case is still has a record that's still open, is it possible to incorporate some of these further cost deferrals and recovery mechanisms or anything else you’re thinking about that to incorporate that into that space?
Lynn Good: So Michael, we're looking at the appropriate way to handle the Carolinas in light of the fact that the case have yet to get to hearing. I don't have anything specific to share on that plan right now, but we are reporting the costs to the North Carolina commission and to the state and to South Carolina and we'll make the appropriate filings and incorporate in the rate case if that makes sense or handle in whatever way make sense, just too early on that one.
Operator: And we'll next go to Jeremy Tonet with JP Morgan. Please go ahead.
Jeremy Tonet: I just want to come to the O&M side with a slightly different angle at that, if I recall, it seems like spending on such vegetation management was accelerated in 4Q ‘19. So just trying to think through how much cost savings is kind of banked last year that could be used against this year? And was any of that contingency kind of already utilized in the first quarter?
Steve Young: In 2019, our agility programs worked in the other direction. We have a favorable year and we accelerated some useful expenses into 2019. We have veg managements is one area where we had about $0.04 that we pulled into 2019, as I recall, that was baked into our plans and our forecast and so forth. And the ability to do those kind of things is very useful to us. That's already baked into the numbers that you're seeing at this point. But that helps us achieve and get into our range that dexterity between calendar years.
Operator: Thank you. And ladies and gentlemen, that does conclude our time for questions and answers. I would like to turn the conference back over to Ms. Lynn Good for any additional or closing remarks.
Lynn Good: Well, thank you, Derek, and thanks to all who joined today for your interest and investment in Duke energy. And I just want to take this opportunity to thank the employees at Duke Energy, I'm extraordinarily proud of the work that underway, the new safety protocols to do the business as usual but also to serve our customers well. And the commitment of the leadership team and our employees to excellence for the customers and then maintaining financial health for our company is truly extraordinary. So, thanks to the Duke Energy employee and thanks to all of you for joining today.
Operator: Thank you. And again that does conclude today's call. We do thank you for your participation. You may now disconnect.